Will Lopes: Good morning, and welcome to Catapult's investor conference call for our first half FY '26 results. I have with me Bob Cruickshank, Catapult's Chief Financial Officer. This morning, Bob and I will present our results, our strategy and outlook and then take questions from participants on the call. It has been a momentous 6 months for Catapult. Just half a year ago, we reported outstanding FY '25 results, meeting the high bar we had set for ourselves and building on the clear inflection point we had achieved in FY '24. Since then, we've continued to accelerate this trajectory. 5 months ago, we announced the acquisition of Perch, the global leader in velocity-based training, shaping the future of athlete monitoring in the weight room. And just last month, we welcomed Impect, the world's foremost innovator in soccer scouting and tactical analytics, whose end-to-end intelligence platform delivers insights unmatched in the game. It's been an extraordinary stretch, one defined by progress, purpose and performance. And today, with another strong set of financial results, we reaffirm that same commitment to innovation and to the promise of what's still ahead. As you can see on Slide 3, the first half brought another milestone. Our customer base has now grown to more than 5,000 teams worldwide, an increase of 400 teams in just 6 months. While our focus, as many of you know, remains squarely on our professional teams, it's encouraging to see this broader growth. It's a reflection of how Catapult continues to define the global standard for performance technology trusted by athletes and organizations across every level of support. Now turning to our results. And before I begin, I'd like to outline that all figures I reference today are reported in U.S. dollars unless otherwise indicated. And to provide a clearer picture of our underlying performance, year-over-year growth rates are presented in constant currency, to remove the noise of foreign exchange and reflect the true trajectory of the business. The first half of FY '25 was another period of strong performance for Catapult, building on the momentum we have created and progress we made in FY '25. As you can see on Slide 6, we continue to advance against our North Star, The Rule of 40, reaching a new high of 33% at the end of the half, up from 31% a year ago and a full 12 percentage point improvement compared to where we stood just 2 years ago. This metric is powered by two core drivers: the pace at which our subscription base is expanding, reflected in the growth of our annual contract values; and the amount of operating profit we retained measured through management EBITDA. Our top line continues to perform exceptionally well, with ACV now up 19% year-on-year at the end of the half. But what's even more encouraging is the leverage we are generating as we scale. Our ability to keep more of every dollar of revenue is growing faster than revenue itself. Management EBITDA reached $10 million for the half. That is a 50% year-over-year increase, delivering an operating profit margin of 14%. That result would have been even stronger were not for an unexpected payroll tax expense of roughly $2 million, which is tied to the strong performance of our share price, something Bob will speak to shortly. Turning to the next slide. Our 19% ACV growth has lifted contracted subscriptions to a new record of USD 116 million. Our total revenue, which includes some nonrecurring items, grew 16% year-over-year to USD 68 million. For those of you who think more naturally in Australian dollars, this marks an important milestone for us. It is a first half in which Catapult has generated more than AUD 100 million in revenue. To put this into perspective, when Catapult first listed on the ASX, our full year revenue was AUD 5 million. The distance between these two numbers says a great deal about just how far we've come. Catapult's SaaS engine remains in excellent health, as shown on Slide 8. Our ACV retention rate once again exceeded 95%, placing Catapult firmly among the most successful enterprise software companies in the world against this measure. It's a testament to the quality of our product, the stickiness of our platform and the value we are delivering to our customers season after season. ACV per Pro team, our core ARPU metric, grew 8% year-over-year. And as in prior periods, the primary driver of this increase is the continued expansion of customers adopting more than one solution, most often adding a video product from our T&C vertical to wearables product in our performance and health verticals. The number of these multi-vertical customers rose 26% year-over-year, underscoring both the differentiated breadth of our product ecosystem, and the value customers unlock when they integrate wearables with videos, a combination that remains unique to catapult in the market. Turning to Slide 9. You can see the depth of operating leverage in our subscription model and the strength of our unit economics. When excluding the unexpected payroll tax expense in the first half, our incremental profit margin is 56%, meaning we kept $0.56 of every additional dollar of revenue as profit from an operating sense. Bob will discuss further how the payroll tax is primarily a first half expense and our treatment of it going forward. But before I hand it over to Bob, I also want to touch on some of the innovations we have delivered to our customers in the first half as we outlined on Slide 10. The rollout of Vector 8 has been a primary focus in the first half of FY '26. While we are still in the early stages of the process, we are already improving the technology and introducing new features as we go, a pace made possible by the new hardware platform that we introduced. Enhancements that once took months on our previous system are now being delivered in just a matter of weeks. In addition to getting devices and docs into the hands of our North American football customers, we are now extending the rollout into more sports and geographies. And we're also delivering major upgrades to our web experience, including faster editing, more streamlined report creation and time-saving performance analysis. The feedback has been excellent, and the rollout will continue through the second half of FY '26 and well into FY '27. Similar to Vector 8, not only did we launch Hub Pro in the first half, but we have also started to expand its features with a new remote workflow that syncs in real time seamlessly with in-office teams, unifying communication, analysis and a feedback loop across the entire coaching staff, no matter where they are in the world. In the first half, as I mentioned, we acquired Perch, and while we've been very focused on the early stages of integration, integrating their velocity-based training technology into our ecosystem, I am pleased to also say that in a very short period of time, the team has introduced Perch Assist, new performance scores and a new enhanced gym analytics, deepening the sophistication of the technology and strengthening our leadership position in gym technology. We also continue to invest in our game day and sideline solutions to better support teams and leagues in real time. During the half, we expanded Focus Live beyond game day and into practice, giving teams the same real-time analysis capabilities during training that they rely on during competition. And in recent weeks, we acquired key IP assets from IsoLynx, a local positioning system provider whose patents were licensed for the use in NFL game day tracking and whose technology has been white labeled by another wearable company as their own LPS solution. When combined with our existing solutions and IP, we believe that this acquisition not only strengthens the backbone of our live operations but also effectively gives Catapult control of the global patent portfolio required to operate an LPS system for tracking athletes and balls in live competition. And across our product suite, we're beginning to see the real benefits of artificial intelligence. AI-driven tagging, data cleaning and content generation are already saving coach's time and helping teams reach insights faster. And while we're only scratching the surface, our uniquely rich first-party data, spanning performance, tactics and now global recruitment gives us the raw material that makes AI truly effective. This foundation will allow us to usher in entirely new solutions and unlock new value for customers, something I will touch on a bit more later. In summary, we've entered FY '26 in excellent shape. We are delivering strong top line growth, demonstrating meaningful operating leverage and giving our customers the best tools and solutions to help them perform at their very best. With that, I'm going to hand it over to Bob to walk you through the financials in more detail. Bob?
Robert Cruickshank: Thank you, Will, and good morning, afternoon and evening to those of you joining today. I'm very pleased to present what are another great set of results today. I'll begin with an overview of our key SaaS metrics before taking you through our financial performance in more detail, and then I'll hand it back to Will to comment on our strategy and outlook. I'd like to reiterate that unless I state otherwise, the numbers I'm about to talk to are actual reported numbers in U.S. dollars and that our growth rates, which compare our performance year-on-year, are in constant currency, removing the impact of fluctuations in foreign exchange rates. Starting with the drivers of some of those great numbers Will presented earlier, I will begin by focusing on our primary metric on Slide 12, our annualized contract value, or ACV. In the first half of FY '26, we delivered 19% constant currency growth, finishing the half at $115.8 million. We're normalizing for the onetime impact of closing our Russian business in the second half of FY '25 and the ACV that we acquired with Perch, this was an 18% growth rate. Our strong growth has again been driven by the performance of both core SaaS verticals, which can be seen on Slide 13. I'll start with our P&H vertical, which includes both our wearables and Perch solutions. This vertical continues to be a reliable and predictable growth engine that yet again delivered an excellent growth rate, growing by 21%, driven particularly by success signing more soccer teams in every region and American football in the United States. P&H was again where we felt the impact of exiting Russia as our business in that region was almost entirely in this vertical. Going forward, that impact will drop out of the FY '25 comparative period when we report our FY '26 results. We remain very pleased with our P&H growth and the continued global expansion we are seeing from our P&H vertical. Our T&C vertical, which includes our video solutions, generated 16% ACV growth. This was underpinned by continued growth from new and existing customers in soccer in Europe and supported by Catapult's expanded product suite of video solutions launched in early FY '26 in American football. Going forward, T&C will also include the ACV from Impect, which we're obviously very excited about, not only because as a stand-alone product, it has the potential for strong growth, but because it will also help us unlock more growth from our own Pro video suite. As you can see on Slide 14, our ACV per Pro team continues to expand, primarily driven by our success in cross-selling. Average ACV per Pro team increased by 8% year-over-year, meaning that our average ACV is now exceeding $28,000 per Pro team. This is very encouraging to see and entirely consistent with our strategy, whereby we have a midterm target of growing this number to $40,000 per Pro team, but you'll learn more about from Will in a moment. The chart on the right of this slide expands on our cross-selling success. In the first half of FY '26, we experienced a 26% year-over-year increase in the number of Pro teams using products from two or more of our verticals, which up until now consisted almost entirely of wearables and video. One of the pillars of our strategy is to maintain ACV retention rates above 95%. As you can see on Slide 15, we delivered an ACV retention rate of 95.1% in the first half, the inverse of which being a churn rate of 4.9%. It is important to note that this includes the onetime impact of our exit from Russia, which represented around 1% -- point impact to this number. This continues to be on par with the best retention rates seen among the world's most successful enterprise software companies. We're incredibly proud of this performance and expect to continue delivering retention rates better than our 95% target. And Slide 16 now provides a good overview of the SaaS metrics we have spoken about today. These are the leading indicators of our future growth, and they present a very positive picture of the health of our business. There are two additional numbers to also call out on this slide. First is lifetime duration, which has increased from 7.6 years to 8.1 years, a 7% increase during a period in which we added approximately 600 new teams year-over-year. It's a great sign that even though we are signing new teams, we're building longer and longer tenure into our customer base. And second is our Pro team count, which increased 12% year-on-year, an acceleration from the 8% growth we experienced in the first half of FY '25. We now have more than 3,800 Pro teams as customers, a significant global footprint. And as a reminder, the Pro team count is different from the 5,000-plus total teams mentioned earlier by Will, which includes non-Pro customers. Let's now move on to our financial results. And you can see on Slide 17, the impact that our strong top line growth has had in our P&L. SaaS revenue derived from our ACV balance grew 16% year-over-year. Recurring revenue, which is comprised of both SaaS revenue and revenue from our media business grew by 19%. As it implies, our media business has had another very strong half of growth with 41% growth year-on-year. And finally, on that slide, recurring revenue as a percentage of revenue has been consistently above 90% for some time, finishing at 94% in the first half of FY '26. Now moving to our cost base. And as you may know, we split our cost buckets into variable costs and fixed costs. Let's start with variable costs on Slide 18. You can see the trend of our variable costs compared to the steady growth of our revenue over the last 2 years, and how these costs are declining as a percentage of revenue. Variable costs are the cost of growth, which are made up of COGS, delivery and sales and marketing expenses. These are the costs that will continue to grow in absolute dollar terms as our revenue grows, while also declining as a percentage of revenue as we gain efficiencies and our business scales. As you can see, we continue to make progress on this metric. While our variable costs increased by $2.6 million year-over-year, they declined as a percentage of revenue from 52% to 49%, corresponding to an improvement in the contribution margin from 48% to 51%. The increase in variable costs was almost entirely COGS related, which increased by 16% and was closely correlated to the growth from our media business. Outside of COGS, our sales and marketing and delivery costs increased by just 4%. This is a tremendous achievement from our team. It means that we are now only 4 percentage points away from reaching our target of 45% of revenue. Now moving on to fixed costs on Slide 19. Fixed costs, which reflect our G&A and R&D teams, both expensed and capitalized, increased by 18% year-over-year and were flat as a percentage of revenue at 37%. Our fixed costs were impacted by the larger-than-anticipated payroll tax expense from the vesting of share-based payments, driven by the Catapult share price, which has risen significantly over the last 2 years. Fixed cost growth was also impacted by the addition of R&D operational costs that came with the acquisition of Perch. Both of these items occurred in the first half of FY '26. Excluding the payroll tax and the Perch impact, fixed costs otherwise rose by 7% year-over-year, which is in line with our expectations. And if we exclude the tax impact only, a nonrecurring cost, our fixed costs would have been 35% of revenue, showing that our core trend of seeing fixed cost leverage with revenue growth is on track. We expect this trend to continue as fixed costs rise modestly in absolute dollar terms, while declining as a percentage of revenue as we continue to make progress towards our 25% target. And these concepts all come together on Slide 20, which highlights how our operating leverage is accelerating the growth in our profit margins. You can see the gap that is now opening up between our revenue and our OpEx as a percentage of revenue and the impact that is having on our profit margin at the bottom of the chart. We have now delivered $28 million (sic) [ $29 million ] of positive operating profit margin, management EBITDA in the last 2 years and we are making great strides towards getting to our targeted 30% profit margin, delivering a 14% margin in the first half of this financial year. As revenue grows and our variable and fixed costs continue to approach their targets, our operating profit margin is expected to increase. And on Slide 21, you can see the ongoing improvement in our free cash flow position that has come about because of these increased efficiencies we're delivering in our cost base and are leading to our expanding operating profit margin. Free cash flow increased $3.4 million year-over-year to $8.2 million in the first half when excluding transaction costs, which consists primarily of the $3 million cash component of the purchase price related to the acquisition of Perch, along with related advisory fees. Including this, our cash flow was still a very healthy $4.3 million and meant that at the end of the first half, Catapult had a net cash position of more than $11 million in the balance sheet and with a fully repaid debt facility. Finally, moving to our profit and loss summary on Slide 22. We have already touched on many of these numbers, so I will make a few observations on those we have not. The increase in share-based payments is primarily due to the year-over-year increase in our share price which has an impact on the expense recognized due to changes in the accounting valuation methodology as outlined in the FY '24 results. This increase is not reflective of an increase in dilution. Incremental depreciation and amortization or D&A includes around $2 million of accelerated expense of S7 devices and Thunder as they approach end of life, along with $1 million of intangible asset amortization related to the Perch acquisition. And finally, the change in interest, taxes and other is primarily due to a tax benefit, lower interest costs due to lower utilization of our line of credit and reduced foreign exchange losses year-over-year. I want to call out that going forward, we will be separating out the payroll tax related to share-based payments from our management EBITDA. This expense relates to our employee share plan and is unrelated to our operating profit. We fully expect to continue delivering for shareholders. And if our share price keeps rising, payroll tax will continue to create timing noise in management EBITDA that has nothing to do with the underlying performance of the business. For that reason, we'll be making this adjustment going forward. In closing, we have started FY '26 in excellent shape. Our key metrics and targets are world-class and our financial performance continues to go from strength to strength. We are consistently delivering strong profitable growth, progressing even further on the Rule of 40. With that, I will hand it back to Will to discuss our strategy and outlook further.
Will Lopes: Thanks, Bob. Before we wrap up, I'd like to take a moment to reaffirm the scale of the opportunity in front of us, the strategy guiding us and why we remain so energized about Catapult's role in sport for many years to come. Slide 24 highlights the global market opportunity. The professional sports technology market is expected to exceed USD 71 billion by 2030, effectively doubling over the next 5 years. Live sports remains one of the last true pillars of real-time entertainment. And that enduring demand is driving unprecedented levels of investment across leagues, teams and performance infrastructure. Slide 25 illustrates how our platform strategy is delivering true differentiated value. Our unified SaaS platform is designed to help teams make faster and smarter decisions. It saves time, adds context to the data they rely on and fits naturally into the rhythms and workflows of high-performance environments, turning information into an advantage and an advantage into a competitive edge. On Slide 26, you'll see the breadth of the solutions we now offer, including Perch and Impect. With each addition, we are becoming an even more integrated partner across the full spectrum of performance and coaching workflows. And across this platform, the deeper impact of artificial intelligence is just beginning to come into focus. Our greatest strategic advantage lies in the quality and the scale of the data we create. Catapult generates and manages a uniquely comprehensive body of athlete information, over 5 petabytes from gym and on-field performance metrics to the custom tactical tagging done by our customers and now the most extensive global data set in soccer recruitment. Because this data originates in our hardware, flows through our software and is enriched inside our analysis tool, we hold something rare in professional sport, a vertically integrated foundation of first-party data that AI can uniquely refine and learn from. This foundation is already creating meaningful value. As I've mentioned, AI-driven tagging, data cleaning and content generation are saving coaches time and accelerating insights across our products. In Formula 1, our computer vision technology delivers real-time track limit detection. In the weight room, Perch is redefining velocity-based training with a computer vision system unmatched in the market. And across our broader ecosystem, machine learning has long-powered player and sport-specific algorithms built on top of data, no one else can access. These capabilities help elite teams uncover patterns and insights that previously required hours of manual analysis. And they increasingly make high-quality performance intelligence now accessible to new types of customers who lack the resources to uncover those insights today. AI is also reshaping how we build. A meaningful share of our production level code today is now generated through AI, expanding our engineering capacity and allowing teams to focus on the inventive high-impact work that pushes our platform forward. In short, our unified vertically integrated system, one that creates and owns the data, enriches it through AI and transforms it into actionable insights, continue to strengthen as AI's role in sport only grows from here. The value of AI ultimately depends on the richness of the data beneath it, and that foundation is uniquely Catapult's. This integrated system and our ability to generate differentiated data are also what fuels our excitement around our recent acquisition. Perch strengthens our leadership in athlete monitoring by bringing weight room intelligence into our performance and health portfolio. Shred training is the foundation to athletic development, and Perch bridges a long-standing divide, enabling us to build a unified view of athlete performance. While we are early in the integration, we are already seeing the impact. Perch has already moved beyond its American football roots, helping us win competitive renewals in Europe, break into new verticals like elite volleyball in Asia, along with also helping us sign new customers here in Australia. It's a clear evidence of its broad appeal and immediate commercial traction. Impect, even just weeks post transaction, is also expanding our platform advantage. It adds a scalable, data-rich scouting solution powered by a proprietary Packing metric that meaningfully elevate decision-making for teams. Impect strengthens our cross-sell engine at soccer, deepens our share of wallet and unlocks new growth opportunities for our video products. And like Perch, the acquisition is immediately accretive to our progress in the Rule of 40. Now turning to Slide 27. You can see how the pieces of the strategy come together. Catapult has built a competitive moat that is wide, deep and genuinely defensible. Our one-stop platform, our proprietary data stack, our global scale and our multisport intelligence are unmatched in the industry. And as the first half demonstrates, through the strength of our platform, the sophistication of our technology and the growth of our customer base, the moat is only winding. We are expanding our advantage at the very moment the market itself is accelerating, which is exactly where we want to be. Slide 28 outlines our focused go-to-market approach. We land on Performance & Health, we expand with video and now scouting analysis through Tactics & Coaching. We retain more than 95% of our customers annually, and we drive cost efficiencies as we move towards a target of 30% profit margin. Slide 29 details the economics that supports this journey. We've built an enviable global SaaS business designed for profitable growth at scale. The ability to drive our contribution margin through cross-sell and product innovation allows us to improve unit economics while leveraging a stable fixed cost base, yielding higher profitability as we scale. Slide 30 brings us back to where I started today, and that's with the Rule of 40. It is how we measure our success both internally and for you, our shareholders. At the heart of this framework are five key drivers, each critical input powering our ACV growth and management EBITDA. Together, they shape not just our financial outcomes, but the discipline behind our scale. First, Pro team count. With more than 3,800 Pro teams today, we continue to see greenfield opportunities across leagues, regions and sports. Second, ACV per Pro team. We are increasing ARPU through upsell, cross-sell, pricing and product expansion, especially as we convert single vertical teams into multi-vertical customers. And this is where new solutions like Perch and Impect will play an increasingly important role as we unlock their potential through our global scaled sales organization. Third is ACV retention. We're maintaining retention above 95% by consistently delivering value, service and innovation. And as we add new solutions, we deepen the role we play in helping customers make better decisions, strengthening the stickiness of our platform and the trust they placed in us. Fourth is the variable cost efficiencies. We are scaling smart, supporting growth while driving productivity and lowering marginal delivery costs. Fifth and lastly, it's fixed cost discipline. With our foundation now in place, we are positioned to grow without layering in equivalent fixed overhead. Turning to our outlook on Slide 31. Our objective remains to deliver on our strategic priorities with a continued focus on profitable growth. As we communicated last month, in FY '26, we continue to expect ACV growth to remain strong with low churn, continued improvement in cost margins towards our targets and higher free cash flow, excluding transaction costs as our business continues to scale. In closing, we've had a great start to FY '26. We continue to deliver strong profitable growth with a SaaS engine that is driving us forward, with a team that is hitting on high expectations that we set for ourselves. With our all-in-one SaaS platform built exclusively for sport, now strengthened by Perch and Impect, we stand alone in our ability to help teams, athletes optimize their performance. I remain confident in the path we're in and in the vital role we play in unleashing the potential that lives inside every athlete and team on earth. Thank you all for listening, and I will now turn back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from Owen Humphries with Canaccord.
Owen Humphries: Well done, team. Another set of strong numbers. A couple of questions from me. First one is just on the Pro team count, added 276 my numbers here in the half, but that would have included Perch, which was around 125, my understanding around the time of the acquisition, but that's largely high schools. Can you just maybe talk through what the, I guess, organic Pro team growth was for the first half?
Will Lopes: Yes. Thanks for the question, Owen. Yes, I think the amount of teams that came -- Pro teams that came through Perch were quite minimal. I think the overlap that we had during the acquisition between our Pro team and their Pro teams was very high. I don't have the exact number on the top of my head, but I would have assumed the additions that came with Perch were definitely less than 10% of the additions that we've added in Pro, but probably even less than that on it. So most of that addition is organic.
Owen Humphries: Right, So strong teams addition, well done. And then just to understand the multi-vertical team growth of, call it, 95%. Now we didn't get a discussion point around the new video solutions, which was around $13 million of ACV in the last result. Can you maybe just talk through how that tracked up? Is it fair to say that 95 teams was largely taking up the new video solutions?
Will Lopes: Yes. The primary growth continues to be in multi-verticals is our Performance & Health or wearables customers taking on video solutions. So yes, the primary version of that came in. I would say that the first half of this year, we were really pleased that we saw, as you asked in your first question, really strong growth in new additions of new teams. So I think the sales team was primarily focused on new logos, but also as we started to integrate Perch, upsell within that logo -- within that vertical also took a lot of attention, which would not show up in the multi-vertical numbers.
Owen Humphries: Well, actually, can we dive deeper on that because if it's the strongest first half addition in teams, like what has changed in the sales team to go after new logos because you can't really see it in the variable cost of sales and marketing, so like you're adding 50 more people in that team. Could you just talk through some of the drivers, some of the regions, how you're incentivizing what's -- just the drivers of that strong team growth, logo growth?
Will Lopes: Yes. Nothing, I think, in particular unique, I think, from the past. I think it's just where the pipeline fell at the first half of the year. We saw good growth in wearables, particularly around all soccer regions. We saw strength, I think, as Bob mentioned, in American football across all the collegiate areas. And then an upsell as we started to introduce Perch into that vertical customer as well. We should -- they just -- that number doesn't show up in the multi-vertical count.
Owen Humphries: And just on the fixed OpEx growth here. So the like-to-like growth was, call it, 8-odd percent. Now that you have a bigger balance sheet, can you just talk through any ideas? I know you talk about modest growth going forward. Is that kind of 5%, 10% growth? You guys are not planning a reinvestment strategy given you guys have a more capitalized balance sheet?
Will Lopes: No, I think as Bob mentioned, I think we anticipate modest growth from a fixed cost perspective as we have in the past. I think we have -- we feel like we have a good scale foundation. Like-for-like, I think when you remove the addition of Impect -- sorry, when you remove the addition of Perch R&D in the first half, and the tax, the payroll stuff, our growth was actually just 7%, and our anticipation always has been that, that's around the amount you should estimate on R&D expenditures going forward in terms of growth.
Owen Humphries: Well done, guys. Good result.
Will Lopes: Thank you.
Operator: Your next question comes from Evan Karatzas with UBS.
Evan Karatzas: One for me. Just keen to -- well, just keen to parse out how you're thinking about the top line growth over the next 12 to 24 months just with the inclusion of Perch, Impect, which are faster growing businesses and I guess, the existing Catapult and you also got the Vector 8 global rollout, just around, I guess, the potential to accelerate that top line growth from here relative to the last couple of years?
Will Lopes: Yes. I appreciate the question. Yes, look, I think as we mentioned in our outlook, we anticipate ACV growth from hereon out to remain strong and for us to continue to see churn. I think the Impect -- sorry, the addition of Impect and Perch will, in their own rights, I think, help each of the verticals accelerate to some degree from where we stand today. It's a bit early to say, particularly on Impect. It's been a couple of weeks since I think we closed the deal. A big part of that acquisition was to ensure that we start to play in the scouting area of the vertical as well as help us have some more innovative bundling strategy with our existing Pro video suite. How it impacts growth rate at this stage, I think it's too hard to kind of give you a guidance on a number. But I think as we've said in the past, I think the addition of all of these products as well as the expansion of our hardware on Vector 8 just continues to add more fuel rods to maintain our growth rate and keep it going strong from here on out.
Evan Karatzas: Okay. Good one. And then just sort of a quick follow-up there. Just remind us of the Vector 8 rollout and the progress there for the next 18 to 24 months as well?
Will Lopes: Yes. I think we continue to be incredibly excited for it. I think -- so we typically start these rollouts a bit slower than you -- sort of to make sure that we're not impacting our customers in any significant way before we kind of really get our entire customer count converted. Our first focus was really around American football in North America. We passed pretty much the Northern Hemisphere summer time introducing the new technology. We are now in the second phase where we're expanding that technology now into other sports and geography. And I think what was really exciting for us is how fast we could bring new features to market. What used to be really months, what would typically takes between seasons, right, new features that we would design from a software perspective, we can now bring to market in a matter of weeks. And I think to your question, we see that really as sort of the underlying opportunity in the Vector 8 platform, which is not only are we collecting these first-party data sets, but the ability to invent and create new software and add value to it that potentially could lead to expansion of share of wallet means that we can move much faster than we have in the past. So we may not have to wait season to season to see some of that impact growth. But I think the caution I think we've always done to the market here is we're a subscription business. And so while we are excited by the platform and what Vector 8 will allow us to do in the future, we don't see the rollout of the hardware as an ACV moment for us. I think later on, as the software starts to improve, that's really where we start to see the AC benefit long term.
Operator: The next question comes from Damen Kloeckner with CLSA.
Damen Kloeckner: I just wanted to build on a couple of questions that have already been asked. So if the 408 new Pro teams, should we think of that as basically being exclusively driven by soccer across multiple regions and North American football, like if you could [Audio Gap] of 400? And then also just with the multiple verticals, where has the MV penetration been highest? Which teams are you having the most with now over the last few months as you're integrating these new businesses and rolling that out?
Will Lopes: Yes. So I think from a -- if I understood your question on the first part, the primary growth driver on sort of new Pro teams, yes, continues to be in global soccer, primarily in sort of Northern Europe, Eastern Europe and Southern Europe, where are still greenfields for us. We also had incredible success in Latin America. The team -- the sales team continues to do a really great job in that region. And we're now finding particularly in the sort of Middle East, Southeast Asia, some really great results there as well. Similarly, I think the North American market continues to be very strong for us. American football has always been an area where we continue to see consistent growth. And I think we're very pleased to see that continue along the way on the Performance & Health growth logos in particular. I think to your second part of your question on the multi-vertical, yes, the primary area where we're finding, I think, the sort of the, I would say, the lowest hanging fruit in converting a wearable client into a multi-vertical client, continues to be in global soccer. That's really been the primary focus, which is why the addition of Impect was to us so exciting is that not only does it allow us to continue to add on the Pro video suite that we've always -- we've been building and feel we have probably the best one out in the market, but now it allows us to combine that with the most sophisticated scouting analysis tool. And if you understand sort of the Pro global soccer industry, what you quickly realize is that actually outside of maybe the top 30, 50 teams in Europe, 95% of the revenue that teams generate globally is through their scouting system. It's basically through building a great athlete and selling that great athlete to some of the big teams in Europe. So the fact that we now have this platform within our ecosystem, coupled with our Pro video stuff, we're very excited that it's going to give us the opportunity to continue to keep our multi-vertical solution growth stronger than it's been this past half.
Damen Kloeckner: Okay. And just one more. Can you give us a little bit more color on what is driving the strength in media business? And should we still be thinking of this as exclusively a North American opportunity, is like contained to the U.S.? Or are you seeing opportunities for media services elsewhere?
Will Lopes: Yes. I think it continues to be a positive surprise for us. It's not -- it's never been an area where I think it's been a core driver of our business, but it's an area of the business that has always benefited from the platform, the underlying platform we built primarily for video analysis. So it utilizes a lot of the tools and the technology on it. The drivers have been really, I think, what I mentioned, which is the sort of unprecedented demand around sports, and basically, sport being really the last bastion of live entertainment means that the value of the ecosystem and the amount of investment going in continues to be pretty high. So what that's translated for us on that licensing media part of the business is really two things. I think, one, we're seeing a higher demand for content, particularly collegiate content out of the U.S. for highlights, for advertising purpose, and we're also seeing the streamers, the likes of Netflix, Disney, Amazon want to create content around sports and us sort of playing the rights holder role for our clients in that case is benefiting from that demand. Again, we are cautious. We're very excited, having 40-plus percent growth on anything is always incredibly exciting. I think we're always cautious that it's been a part of the organization that has been historically growing in the single digits, 5%, 7% annually. We treat it typically in our minds as something that we anticipate to stay flat. But if this demand continues, I think we'll probably have to rethink how we think about this part of the business for ourselves.
Operator: Our next question comes from Lindsay Bettiol with Goldman Sachs.
Lindsay Bettiol: Hopefully, you can hear me okay.
Will Lopes: Very good.
Lindsay Bettiol: Yes, good. Okay. Question, if I have a look at, say, the full year ACV results versus the first half ACV result, like the mix of Pro teams growth and ACV per team is kind of inverted. With the first half, it was ACV per team driven; second half, more Pro teams driven obviously because of Perch. As we go forward, like you've acquired Perch now, Impect comes in, I would think that would kind of, one, accelerate the conversion of video, but also it's just a higher ACV per team anyway. Like how should we think about the mix of your ACV growth going forward? Would you expect that to be more ACV per team driven versus, say, what we've just seen in the first half?
Will Lopes: It's hard to give you a real good answer on that at this stage because I think it's still pretty sort of bringing -- we haven't been historically an M&A machine, where we add solutions into the mix. So Perch has only been with us for 5 months Impect for a couple of weeks. Historically, I think the way we tend to think of our ACV growth or at least not to think about it, but historically, how it's come, it's been around 50% driven by new and about a quarter on upsell and a quarter in cross sell -- sorry, a quarter in price increase. My expectation is that at least for the next 12 months or so, I don't see any reason why that ratio changes. I would anticipate that upsell and cross-selling would still primarily drive about a quarter of our ACV growth and new about half of it. But that ratio could become a bit more close to equal if the integration with Impect and the integration with Perch continues to do as well as we imagine, but it's a little bit too early for me to give you any guidance on that at this stage.
Lindsay Bettiol: No, brilliant. That's fine. And then just a couple of clarity questions. If I look at your staff numbers, it looks like they ticked up by 20 half-on-half. Could you just remind us how many heads came across as part of the Perch acquisition, please?
Will Lopes: How many heads, how much headcount...
Lindsay Bettiol: Yes, how many employees?
Will Lopes: Yes. So I think Perch was somewhere in the neighborhood of like a team of 10. And I think in Impect, which is not yet reflected in the number, it was probably -- it's probably about a team of 30 to 40 on their corporate side. It's a bit higher on the operations side that sits behind it in the Philippines. I think the number is around 400. So you'll see a tick on head count growth. But again, those are mainly operational headcount. So think of it as like a support center on it. Excluding those, I think our head count is probably minimal from a growth perspective net, right, so probably around 10 to 15.
Lindsay Bettiol: And then just final kind of clarity question. I think Bob did call this out, but just to be sure, the Russia impact, that's done now, right?
Will Lopes: Yes. So by the end of the year, if that's what your question is, the Russian impact will be excluded -- or not excluded, it's no longer impacted in the numbers. This will be the last time that, that impact on ACV will be there, particularly in churn. So if you exclude that impact now, I think our retention rate was around 96%. I think we had a churn rate of like 3.9%, which would have been compared to last year this time around 3.8%. So virtually flat and an amazing level at all counts. But yes, you shouldn't anticipate that impact going forward.
Operator: [Operator Instructions] We have a follow-up question from Owen Humphries with Canaccord.
Owen Humphries: I think you just answered it before. But just around that media business, I think you said that you expect that business or way you model it is kind of flat in terms of the run rate revenue to date going forward?
Will Lopes: Yes. I actually think -- I would say that we think it's probably running a little high given where historically we've seen. I think the -- I would say that it's somewhere between $10 million to $12 million in annual revenue. It's kind of where we've seen that business run with, let's call it, CPI level increase. I think this year, it's running -- I don't have the number, but it's probably closer to $14 million right now. So while we're delighted to see it there, I think I'm just a bit cautious on that metric because I don't know how long this demand that we're seeing, particularly from the streamers, right, will stay on. We had -- I'll give you an example, Netflix created a show last year around collegiate sports, particularly around American football. We weren't sure if it was going to get renewed. This year, it did get renewed. And so -- but it's still unclear whether the following season it will get renewed. So it's -- I think those are -- they're harder to predict than the other parts of our business. That's why I think we're fairly cautious about it.
Owen Humphries: Got you. And if you're an analyst doing some modeling, and obviously, run rating at 16.6%, you kind of said run rate should be around 10% to 12%, but maybe how would we forecast that into future years and also for the game play, but I think that's where the market is focusing on, what it means for growth trajectory next year?
Will Lopes: Yes. I think 10% to 12% with some CPI level growth is probably appropriate. But I don't know what else to add to that.